Josh Attie - Citi: Good afternoon, everyone. Welcome to the 4:55 p.m. session of the 2013 Citi Global Property CEO Conference. Before we begin, the session is for investing clients only and if media or other individuals on the line please disconnect now. We are very pleased to have with us Highwoods Properties and CEO, Ed Fritsch; and CFO, Terry Stevens. Ed, I’ll turn the mic over to you for any opening remarks you have and then we can get right into Q&A.
Ed Fritsch: Okay. Thank you. I know we are on cocktail eve. So I’ll run through some opening comments really quickly here. We feel, as a company we had a very solid 2012. Our FFO growth was just shy of 6% year-over-year. Our occupancy was up 90 bps over year end prior year. Our same store cash NOI was up 3.6%. Our CAD improved year-over-year by $11.5 million. We deployed just shy of $300 million in acquisition at an average cap rate of 7.4% cash. We also had dispositions of non-core assets of $158 million at an average cap rate or weighted cap rate of 6.8% on dispositions. We reduced our leverage by 340 bps and so ended the year at preferred plus debt as a percent of gross assets or adjusted asset of 43.9%, so down 340 bps. And we grew our unencumbered NOI pool by 640 bps. So we’re very pleased with the outcome from 2012. We recently had our earnings release and gave guidance for 2013. 2013 our guidance is $2.68 to $2.81 per share and that excludes, while we give guidance for the range of dollars for dispositions and acquisitions, at the number that we gave to that excludes the impact of dispositions and acquisitions, we give that and we modify as we go forward. Looking into 2013, we feel that the velocity of leasing right now is respectable. We had a very good year last year with over 5 million square feet leased, we think at the pace of cadence, so that will continue. We have a couple of large vacancies that that we all need to address. Tabitha has handed out our quarterly At-A-Glance, on the bottom left hand side of that we address some of those and it’s been one of the [toppest] conversations in our many meetings yesterday and today. I’ll just touch on them real quick if I may Josh. One is the 2800 building in Atlanta, 221,000 square feet that we had to back lease. We are now signed for 50% of that and we have letters of intent for the next 45%. We even have backup prospects beyond that. So we feel pretty good about the back filling…
Terry Stevens: That’s the first state in this space.
Ed Fritsch: Correct. Yeah. I’ll get to the second AT&T space, second. Thank you for underscoring that. So, the first AT&T space were basically solid on that and in between we have another big space that we have to fill which is the PwC space, which is in our Tampa Bay Park in the Westshore submarket of Tampa, 319,000 square feet of PwC will come out of in May. We relet 75,000 square feet of the 319, so we are 24% relet on that and we have little over 200,000 square feet of strong prospects to further back fill, those two multi-tenant buildings. And then the third were the second AT&T with the -- third opportunity is a building called Windward which AT&T will vacate in the fall, we’ll get back in October which is right around 220,000 square feet. We also gave guidance with regard to acquisitions for 2013 in the range of $200 million to $325 million. To date we have completed $89 million that we've deployed, if you go to the third page of the At-A-Glance that Tabitha distributed in the top left hand side we show statistically how we did on cash cap rates and GAAP cap rates, and we’ve done in the way of acquisitions over the last two years plus the start of this year. So we are basically $90 million in on the $200 to $325. Cap rates are very attractive. Our weighted average right now is year one cash of 8.7% and GAAP of 9%. On dispositions, last year we exceeded the top end of the range. We did -- we sold $158 million at an average cap rate of [60] factoring out a delease multifamily project that we had at Country Club Plaza was 74, so very attracted numbers there. This year we are saying $100 million to another $150 million that will do in non-core dispositions. And then on the development side, we’ve given guidance of $50 million to $150 million. We’re in a number of build-to-suits conversations with them quality credit customers, quality -- or build-to-suites in the breadth and depth of those conversations have improved. So we have reason to be fairly optimistic on that. Everything that we do in calendar year 2013, we expect to do on a leverage neutral basis going forward. And then just one more item is to, we entered into a new market in the fall of 2011. We went into Pittsburgh. We bought 1.54 million square feet and a six building complex on the day of closing we were 81.2% occupied. We've lifted that occupancy now to over 91%. We've also carved out a $1.20 in operating expenses. We -- when we closed on it, we projected that we would reach 91.5% occupancy by the fourth quarter of 2014. We've now revise that. We've accelerated that to 92% instead of 91.5% and we’ve moved it from 2014 to second quarter of ‘13. So our move into Pittsburgh with the PPG complex has been very positive. We also bought the EQT Plaza building which expanded our footprint in Downtown Pittsburgh to add another 40%. So, in summary, business seems to be moving along at a respectable cadence. We have hope that now that some of the uncertainty is been removed from the environment have more business decision-makers will go ahead and make decisions. The outcome may have not been what they wanted with regard to fiscal clip, the election of senate, the sequester, but at least we know what some of the rules of engagement are and we feel like businesses are starting to make more proactive decisions.
Josh Attie - Citi: Thanks, Ed. We are starting all these sessions by asking a few the same question. What do you think the most valuable opportunity is within Highwoods that's not being fully recognized or appreciated by the market and investors today?
Ed Fritsch: Other than who does have this (inaudible), how would -- we only get one.
Josh Attie - Citi: It’s a draw you could do.
Ed Fritsch: Okay. It’s a draw. So, I think is two things, I think, one is, there is a bit of misnomer I think with the umbrella of the term Suburban office space. Suburban office space has been written about and treated it associates, old musty space with shag carpet in undesirable carders. Our view is that for our perspective what we pursue is maybe not the CBD but what we call the BBD, the Best Business District. And I think our concentration and focus on the Best Business District is not fully understood or comprehended. We can point to markets and we try to do that on page two of the handout that you have that in some markets the CBD is the BBD like in Pittsburgh or like in Orlando, but in other markets like Atlanta, we think that CBD is not the best business, due to the Men In Black flashy thing and Best Business District, we have depicted, it’s understood aspects of it. And then second [technical difficulty] development opportunities with the lend bank that we have [technical difficulty] we expect others to come given that there has been some resolution in the economic uncertainty in America.
Josh Attie - Citi: That’s a good kind of segue into something we talk about, I thought on, the conference call and also in your guidance, were the most optimistic you’ve been in a really long time on the prospect getting build-to-suits and you bought more land in Nashville that could support a big mixed-use project? Maybe tell us more about what's going on in terms of what's driving decisions to be made now versus last year? And also, what are some of the economics that you are going to require to start some of these projects.
Ed Fritsch: Okay. Yeah. Two good question. One is I think just on a holistic basis that, as I mentioned, I think decision-makers are still been hesitant to make significant decisions like pulling the trigger on the build-to-suits. We all know that a lot of company’s balance sheets are fortified with low leverage and a fair amount of cash. I think a lot of money in the last years on businesses that have done well have invested in IT to improve productivity. I also feel like productivity in America is probably an all-time high and there is only so much more you can squeeze out of people and squeeze out of improved technology. So what's the next thing to come in order to advance productivity and profitability within company, it’s our view would be adding headcount. So we think that, given some of the uncertainty is been resolved. Again, it may not be the answer that you may not, at least you should know the rules, an example of that I’ve used in some of the conversations we’ve had over the last two days is, have a 17-year old son, who didn’t like a midnight curfew but it's 11 o'clock. So he didn't get what he want it. But he knows that from 7 to 11 that his time that he can be out. So maybe the election didn’t come out, let say the way that I personally or business perspective wanted it, but at least I know now what some of the rules are going to be with regard to tax and healthcare, that Obamacare is not going to be repealed and now we have customers in our own shop that have to deal with the cost burden of Obamacare, but I know what it is. So I think some of these things have been quantified for us. And I think that’s what caused some of these decisions or conversations with regard to build-to-suits to escalate from talking with the real estate people and the office management people and in-house engineers to escalating up the food chain where now we have C level position folks involved in the conversation. I don’t want to mismanaged expectations at all. We don’t have anything that we have a press release that Tabitha is going to release as soon as we land back in Raleigh tomorrow evening, because we are staying tomorrow, there are several meetings, Josh. So if, but we are in good healthy conversations that give us reason to believe that some of this should mature in 2013.
Josh Attie - Citi: And what kind of economics are you going to require to move forward on the project?
Ed Fritsch: So the economics, we obviously did a fair amount of developments when times are good between ’05 and middle part of ’08, and we delivered about $750 million of development at a 9% cash yield, day one. We expect that with the conversations we have gone and going, obviously the better the credit and longer the term, the more we would compromise on returns. But I would suffice it to say from low ‘8s to ‘9 cash yield. And some of it were -- it will go on company-owned land where we’ve brought the land sometime ago, a pure accretion on pure cash outlet because we put in the market. We would add another 70 to 80 bps to that.
Josh Attie - Citi: And the tenant pipeline that you are talking to, that seems the most near-term. Would those be existing tenants in Highwoods buildings that would move out to build-to-suits or would it be predominantly net growth to Highwoods, new tenants coming into the portfolio?
Ed Fritsch: Yeah. It comes from predominantly a few buckets. One is existing customers who want to grow and second is customers’ prospects, who were looking to migrate into the area, which would include very little employee relocation and more local hiring?
Josh Attie - Citi: And I would guess that the rent that they would pay on a build-to-suit would be higher than the rent they would pay for existing building in the market.
Ed Fritsch: Absolutely.
Josh Attie - Citi: I guess, how were the tenants thinking about that that it’s such a more efficient building, newer space that it’s worth that its worth that trade-off or is it that that they are consolidating from a largest space to the smaller space even if there was a per square foot rent overall outlays is the same?
Ed Fritsch: Yeah. I picked up on you and you wonder that growing from a larger space to a smaller space to leave larger space on the market. But that’s not the case. For example, the LakePointe headquarters that we have under construction now, they are coming from multiple locations to come into a central location and obviously they would garner synergies with regard to G&A savings on that, for having everybody on one roof and more collaborative work environment. Those that we are talking with now are more or just pure. They need more spacing. They don’t have the space and they want to go into space that either suits their image that they want for retention and attraction of customers and the image that they would portray to the community, or they can find adequate space that’s Class A in the size or scale that they want or that they are migrating into the community, totally new and they can’t find the scale and quality of spacing they want.
Josh Attie - Citi: And is the build-to-suit pipeline mean -- I know historically the government is one of your biggest tenants and you’ve done build-to-suits for GSA. When you look at the tenant pipeline for build-to-suits today, is it mainly private or is there some government agency? And can you describe the land acquisition in Nashville? You’ve spend some time on it on the conference call, but maybe if you could put some numbers around it in terms of how you see that mix used projects progressing when the different pieces get built and what your financial outlay will be?
Ed Fritsch: Sure. So on page three of the handout which you have in the middle block on the right-hand side down you can see a colored blocking scale of the Master Site plan that is schematic. So the bluish purple is the office. So we can build out up to 1.3 million square feet there, and then the reddish orange is the retail single-family, multi-family and hotel. There is a black line that goes through there that shows our 68-acres versus what our partner has and their 75-acres, that’s a total of 145 acres in all. We are right now working on the master planning. The build out of the retail in the residential would obviously go faster than the office. This is in an environment called Cool Springs submarket in Nashville, which is south of Nashville. The customer base that’s needed for the residential and the retail is not dependent on the office, so they are not being built, solely served the office. The office would obviously be an incentive for it, but there's enough of local traffic and demand for that, that would support that long with the office. Highwoods will be the master developer for the infrastructure for the entire track, so spine road and soil erosion, all those types of things that water control that we would be heavily focused on and we are working with the local partner there. We are in conversations with various municipality representatives with regard to what we can do and how we can do it from traffic lights to trapping water retention on-site and doing those types of things right now. We have had -- even though, we haven't had an on-site media event there, we have had inquiries to try and understand what opportunities there might be there for build-to-suits. We are working with prospects, but this location certainly has drummed up some early interest in the site, not only from the residential and the retail but also from the office side.
Josh Attie - Citi: What do you think the timeline is for developing the retail and residential? Sounds like that’s not dependent on getting an office tenant?
Ed Fritsch: Correct. And I think the office supports that sales demand, but it won't drive it. I think on the office side, that the build out for this could be from 10 to 15 years. I think when people do -- in my appraisals, the thing that's most often missed is how fast land is absorbed. They usually predicted it absorbed faster than it actually is, with 1.3 million square feet here I think the conservative factor would say that this is a 15-year build out. So we are heavily focused on what the building is because somebody, who's 25-years old may very well be making decision on what they are going go into. So we are trying to come up with designs of buildings in floor plates and gliding glass in amenity packages that don't necessarily scream that you have to be in there in a 12 or 14 by 18 office instead of straitening your steer all time. That we can do various types of build outs within, in the product that we would provide.
Josh Attie - Citi: Some of these newer buildings, what do you think the, per square-foot room per employee would be and now that you are starting kind of from scratch.
Terry Stevens: Yeah. Okay. So there is three-way tide, development, suburban office and is my office space contracting question. I think that that there's -- the exact question that you ask, Josh, which is a very steep question and we've gotten it a lot, not just the last two days but over the last six months. It’s about, is my office space contracting and this is pretty sophomoric. But what we've tried to explain is that the me space, the space that’s allocated to Ed is smaller than it was because I used to be in an office and now I’m in a workstation. But the, we space where we collaborate or we eat lunch or we go and we think and we try and come up with other ideas is dramatically expanded. So take for example, what the typical break area it used to be. It used to be a coke machine and two machines that dispense crackers or honey buns from the south. So then there would be a laminate table. Now, this is a much more of a collaborative meeting space with couches and beanbag chairs and a counter with barstools et cetera, and is much more of a collaborative, interactive space with the foosball table or something in there. So we have studied this pretty carefully of the -- and Jones Lang, for example has put out a study that shows that the space per employee has contracted in the space that they consume. But what we have analyzed is the total premises contract and what we’ve found is basically a wash that the space that you’ve given for the, me space. So let's say that contracted by 15%, 20%, but the collaborative workspace has grown by the aggregate of the contraction of each of those me spaces. So we think it’s basically a wash and we've evidence that and we show you graphs and data that support that. One other aspect to that, that those who saw the Yahoo announcement that just recently came out and in fact, where the new CEO said, all right, everybody who is working at home come on back in the office. We didn’t plan that. They did that and it certainly supports the cause for office space. Her quote was, we have to be together in order to be productive and collaborative. We were haunted to some degree years ago by the whole idea of offshoring. We were never really fabricated and there were people who had already put an RIP sign in front of office space and it never materialized. We've heard the same thing about this telecommuting and now we are seeing more and more examples of, you got to in the office so that we can collaborate as opposed to being a little bit less productive than being at home. I’m not saying for everybody, but it's certainly not the idea. It's not tagging office space because it simply isn’t fabricating.
Josh Attie - Citi: I felt on the conference call, you all seemed much more optimistic on underlying fundamentals of the business and demand for office space, and what you're seeing from your tenants. I guess can you elaborate on that, has that been sustained since the conference call? Do you view that as there was a low inactivity late last year because there was a lot of uncertainty and now you are kind of seeing a little bit of pent-up demand or in your view is this, the beginning of more sustained recovery of demand?
Ed Fritsch: Yeah. I think we are good enough to sermon a change between the taller one today. I mean, it’s been two week so. We will keep our finger on the pulse, but I think what we represented on the call will stick for your attitude towards today. I don’t think it’s changed on a dime like you’ve gone from the dark of the theater to the brightness of the afternoon. But I think it has continued to move along at a positive cadence in a positive direction. We haven’t gone from waddling towards improvement to an all-out run. I think that waddle has kicked up a little bit. But I wouldn’t say that we now have multiple prospects for each space and they are kind of bidding with us, you can get it. I think what we’re trying to say is the velocity of showings and the sentiment of general interest in office space has continued to gradually pickup since 2009 through today. There is not a very deliberate spike in that. I don’t want to suggest that. When we’re thinking about the portfolio from a lease expiration perspective, it just seems like the vintage of these that are probably expiring this year and possibly next year were signed during much stronger period that the comparisons within your portfolio. And that should be pretty tough this year, next year. That -- is that the right way to look at it. When you look at everything about rent spreads whether they could be this year or next year. Do the comparisons get a lot tougher?
Ed Fritsch: No. I don’t think they get a lot tougher. It’s not that they’ve been cautious this past couple of years. We’ve had some cash flow done but we’ve had GAAP growth. You really -- it's a mix bag. So the releasing of 28,000 for AT&T, we’ve had rent growth there. On the PwC space, we’ll have rent rolled down there. On the second AT&T space, we should get rent growth there. So it’s a mix bag and it depends on was it a 60 month lease or was it a 120-month lease. I think that we’ll continue again towards improvement. I suspect cash to still be negative in 2013. And GAAP will still be positive and hopefully better than what it was in 2012.
Josh Attie - Citi: What is the acquisition pipeline look like that -- I know the acquisition pipeline also looks better today than I think it did might be a year ago?
Ed Fritsch: Well, we’ve been very fortunate last two years to have been able to deploy about $600 million in properties that both have value creation and day one we’re accretive to the shareholders. And on top of page three, we show what the cap rates are and these self serving comments for the company but these are pretty attractive cap rates. And the majority of what we’re able to fire here is done off market. And so I think that you would not happen to grow into an accretive cap rate. We have it day one. And we think that each of these acquisitions has its own story on why we believe it was a good investment. Last Wednesday, we announced $56 million deployment to buy 372,000 square feet in Westshore submarket of Tampa. To start day one and day three on cash and day seven on GAAP, we think it’s attractive. Is there -- are there -- FedEx is going to be wearing themselves out over the next six months delivering offering memorandums to our office. I don’t think that’s going to be a dramatic pickup but I think that with our team and where the world is and what the opportunities, that there is no reason for us to think that we’re going to go back with regard to acquisition opportunities. I think that we’ll continue to be active in the market but we’ll also continue to be quite disciplined. The team we worked a couple of building within the last couple of weeks, we thought that they would provide for us an attractive deployment of money. And we were interested in number -- by the time we got from the boiler room to the group, we decided that the quality wasn’t there for us to make a move on it. So it’s important that we deploy money but it’s also very important for us that we buy the right product.
Josh Attie - Citi: Where do you think market cap rates are and where do you things are going directionally and you’ve been able to buy very attractive deals that are going to be more difficult this year to see cap rates lower today than you did a year ago for the market?
Ed Fritsch: Yeah. I think on a weighted average basis, it would be tougher than what’s on this page. I know that there were some who -- to get the fact that they don’t like The Pittsburgh Steelers but just weren’t happy that it went to Pittsburgh. But we have a created a lot of money for the shareholder by us going into Pittsburgh. And we bought 1.54 million square feet at $0.47 on the replacement dollar. We think that, that was -- we kind of hit him where they weren’t. And we captured a very good opportunity there and we’ve been able to build on that base. And now it’s been very well received, year and a quarter, year and a half later. How many opportunities are we going to be able to hit them where they’re going. I mean, it depends on what we’re able to identify. But I think that those opportunities are going to become more rare and more common.
Josh Attie - Citi: I know there have been a lot of suburban office and metro office type transactions. But where do you think cap rates are today for stabilized good products?
Ed Fritsch: Yeah. Institutional quality assets that have a good rent roll that don’t have a major concentration that one single customer that occupied 50%, 60% of the buildings, I would say is in the low 7s, mid 6s to low 7s depending on where it is, what is, how old it is, credit rating, ingress/egress. Was it a well conceived development project et cetera. We had a building in Raleigh trade in the last two weeks that KBS bought for $326 a square foot. That was low 90% lease…
Josh Attie - Citi: What’s the cap rate?
Ed Fritsch: Market deal and the developer kept the piece of it.
Josh Attie - Citi: Do you think with more -- with financing becoming more available. Do you think you’ll see more activity on the disposition side. I know that you’ve already called a lot of the portfolio and there’s not -- probably not a thumb left that’s non-core. But could you see more activity on the disposition side and could it make sense to revisit to link some of the industrial asset?
Ed Fritsch: On the first part of the question, it depends on the IQ that comes with the money. If there -- if it becomes stupid money, yeah, I think that's a concern for people. If there is just -- if the intent is to deploy the money to earn the fees then I think that that would be concerning. But I think that there have been people at the table from 2008 through today that have been stout. So another weak analogy from Ed Fritsch. But let’s say that you and I go to a 10K run and we plan on actually trying to finish in the top five. So whether there is 2000 people, there were 10,000 people, does it really matter? What you and I do is we go to the frontal lines, we go and [gun those off], we’re just looking to see if there’s two guys from Jamaica there. Right. So if the two guys of Jamaica there, that’s the competition. The family from down the block with cushion or jogging strollers there, are they really the competition. So I think it comes down to -- there has been very capable money on the sidelines throughout our deployment of this $700 million that could pay cash. But we’ve been able to source these. I think, yeah there is more money in financing available today. But if they deploy it in an intellectual manner then that doesn't intimidate us. But if they go rogue and it’s stupid money then that's when you have to take notice of that and not get caught up in chasing the bid and be sure that when you’re bidding that you're strictly chasing the asset and the rank role. On your second question with regard to industrial, we right now have 5% of the company's revenues coming from industrial. It’s evenly divided between Greensboro, North Carolina and Atlanta, Georgia. We have 2.9 million square feet of industrial in Georgia. We currently have about 30% of that in the market today to see what type of price shade we can get. It’s coming at the lower end of the portfolio. So we’re -- did not help them to sell it but we are anxious to see what kind of pricing it would bring. In industrial, as a percent of revenues, the company is continuing to contract and it will continue to contract.
Josh Attie - Citi: If I could just ask quickly, what are reasonable targets we’re bringing to PwC space. I know they don’t have any doubt yet (inaudible) but if you’re 24% released today. What's a reasonable target to bring it up to 80 or 100?
Ed Fritsch: Timeline.
Josh Attie - Citi: Timeline. Okay.
Ed Fritsch: Well, you know, we scour the market to find the 24% that we back let. PwC has ended up -- they are going to keep 75,000 of the 319,000. So it is not like we already brought. And given that that they’re in the space, it's going to take some -- we’re also have a plan -- those of you just dialed in we’re the only ones left in the meeting. Just real quick, I think that -- on that Josh, that if we started and have $208,000 strong prospects by the end of this year that would take us to about 50% by the end of this year. And then work towards your 80% or 90% in 2014.
Josh Attie - Citi: Okay.
Ed Fritsch: We do have a plan to deploy about $4.5 million to $5 million on improvements that prospects and customers would see with regard to hardscapes and approach and that sort of things. So we will urbanize what we have in that part to some degree with deployment of about $4 million, $5 million.
Josh Attie - Citi: Thank you. And before we go to cocktails, just three quick questions what do you think same-store NOI growth will be for the office sector in 2014?
Ed Fritsch: There isn’t really quite thus far. 3%.
Josh Attie - Citi: If you guys were to invest in the property sector outside of office, what would it be?
Ed Fritsch: Multifamily.
Josh Attie - Citi: Do you think one year from now will be greater or fewer publicly traded office reach?
Ed Fritsch: Office reach. Same.
Josh Attie - Citi: Thank you.
Ed Fritsch: Thanks Josh. We appreciate you’ll hosting this, appreciate your coming. Thank you very much.